Operator: Good morning. My name is Casey, and I will be your conference operator today. At this time, I would like to welcome everyone to the Primerica Inc. Q1 2018 Earnings Results Conference Call. [Operator Instructions]. Thank you. I now turn the call over to Kathryn Kieser, Executive Vice President of Investor Relations. You may begin your conference.
Kathryn Kieser: Thank you, Casey. Good morning, everyone. Welcome to Primerica's first quarter earnings call. A copy of our earnings release, financial supplement, presentation and a webcast of today's call are available on our website at investors.primerica.com. Glenn Williams, our Chief Executive Officer; and Alison Rand, our Chief Financial Officer, will deliver prepared remarks then we'll open it up for questions. We reference certain non-GAAP financial measures in our press release and on this call. These non-GAAP measures have limitations, and reconciliations between GAAP and non-GAAP financial measures are attached to our press release. During the call, we will make forward-looking statements in accordance with the safe harbor provisions of the Securities Litigation Reform Act. The company will not revise or update these statements to reflect new information, subsequent events or changes in strategy. Risks and uncertainties that could cause actual events to differ materially from those expressed or implied are discussed in the company's 2017 annual report on Form 10-K and may be updated by our quarterly reports on Form 10-Q. Now I'll turn the call over to Glenn.
Glenn Williams: Thanks, Kathryn. Good morning, everyone. Today, I'll share performance highlights and accomplishments that position us for continued growth, and Alison will cover our financial results. Our focus as a company and our messaging to our sales force leaders is to continue to build on the strong growth we've achieved over the past few years. The need in the middle income market for what we do is greater than ever. We're executing business enhancements and launching initiatives focused on distribution growth to broaden our reach and to help create more financially independent families on Main Street. We successfully expanded our distribution capability in the communities we serve by increasing the size of our life insurance licensed sales force 8% year-over-year to over 127,000 representatives. Beginning on Slide 3, you can see in the first quarter of 2017, we continued delivering solid earnings growth across the business and returning significant capital to shareholders. Our adjusted operating revenues increased 14% to $462.9 million, and adjusted operating income before income taxes increased 15% to $85.9 million year-over-year. Net adjusted operating income increased 27% to $66.2 million from the prior year period driven by increases of 22% and 8% in the Term Life and ISP segments, respectively, and the benefit of tax reform. We achieved 32% growth in adjusted operating EPS, and our ROAE expanded to 19.0%. We expect annualized ROAE to increase to about 21.5% for the full year 2018. Our diversified business generates solid earnings and returns a significant amount of capital to our stakeholders. In the first quarter, we repurchased approximately $46 million or 468,000 shares of Primerica's common stock. We plan to repurchase a total of about $200 million of shares during 2018 in addition to paying stockholder dividends and we plan to deploy capital at or above this level in the future. We are also investing in our business to generate organic growth. As we discussed last quarter, we expect to incur about $11 million of additional costs on digital initiatives in 2018. We intend to spend approximately $10 million of the previously discussed $7 million to $10 million of tax reform benefit on investments to accelerate planned initiatives and to give back to our key constituents in 2018. While this incremental spending for these purposes was nominal in the first quarter, we do expect to incur a total of approximately $21 million throughout 2018. In addition to solid financial performance, we surpassed the very strong distribution results achieved in the first quarter last year. On Page 4, you can see our life licensed sales force grew 8% from the prior year period. Recruiting of new representatives increased 7%, and new life insurance licenses were 8% higher, indicative of continued recruiting growth and licensing focus. On a sequential quarter basis, recruiting increased 18% following the typically slower holiday season. New life insurance licenses slightly declined from the prior quarter, reflecting seasonally lower recruiting levels in the fourth quarter. We expect the size of the sales force to continue to increase in the second quarter of 2018. On Page 5, you can see Term Life insurance policies issued were consistent with strong results a year ago. Productivity of 0.19 policies issued per life licensed representative per month in the quarter was slightly below the prior year period, although consistent with historical first quarter trends. On a sequential quarter basis, Term Life insurance policies issued declined from the fourth quarter. A lower number of new life insurance applications is typically submitted during the slower holiday season, which leads to fewer issued policies in the months following. We're very pleased with our record Term Life growth over the past 3 years. We recognize that as growth compounds, the aggregate level of policies we've issued makes it challenging to sustain the elevated level of policy growth. We are continuing to grow the size of our sales force and we're constantly working to maximize productivity through business innovations, technology, and strategic use of incentives. On a longer-term basis, we anticipate seeing healthy growth in our Term Life issued policies that's generally in line with the growth and the size of our sales force. For the remainder of 2018, we expect Term Life issued policies to grow between 5% and 8% with some quarterly fluctuations in productivity. Over the past several years, we've positioned ourselves to take advantage of shifts in consumer interest and product demand as they emerge. In our Investment and Savings Products business, we have significantly enhanced the licensing process, product offerings and client experience in order to drive growth. These initiatives include providing more licensing preparation and assistance; a streamlined application process; and the digital delivery of marketing materials, prospectuses and other documents. A large portion of our sales growth in the past 2 quarters can be attributed to the successful launch of our Lifetime Investment Platform, which expanded our ability to meet the needs of our clients with more assets. These enhancements, coupled with other factors, have driven growth in product sales with larger average initial investments. In the first quarter, we achieved an all-time record level of Investment and Savings Products sales of $1.8 billion, up 12% year-over-year, reflecting strong managed account sales. Retail mutual fund sales increased 8%, influenced by strong Canadian sales. Our variable annuity sales improved, increasing 10% compared with the first quarter a year ago, while segregated funds declined, reflecting lower demand for investment product guarantees in Canada. ISP net flows were positive $212 million and average client asset values increased 15% year-over-year to $61.7 billion. Managed accounts were our fastest-growing asset class, increasing 40% from the first quarter of 2017. While managed accounts do not generate sales-based revenue, they produce higher levels of recurring asset-based revenues which will benefit the business longer term. As we head into May, we're using the proven leverage to drive growth and we are working on high-impact initiatives involving digitization to improve client experience and facilitate representative success. Our business fundamentals are strong and we're well positioned to continue to achieve solid distribution growth and operational results for our stakeholders. I feel good about our opportunities for the future. Now I'll turn it over to Alison.
Alison Rand: Thank you, Glenn, and good morning, everyone. My comments today will cover the earnings results for each of our business segments and then conclude with a company-wide review of insurance and other operating expenses and income taxes. Starting on Slide 6. In the first quarter, our Term Life segment revenues and adjusted direct premiums both increased 15.5%, outpacing growth in benefits and expenses and delivering a 22% increase in income before income taxes year-over-year. Solid growth in adjusted direct premiums was driven by strong sales levels in the past few years; the runoff of business subject to the IPO coinsurance; and policies that continue beyond the end of the initial level premium period, which are no longer ceded to the IPO reinsurers. As we've discussed in the past, the coinsurance transactions entered into at the time of the IPO have given us a long runway for double-digit growth in adjusted direct premiums. The tremendous growth in issued policies over the last few years, the strengthening of the U.S. dollar in 2017 and the additional end-of-term premiums we began retaining last year led to adjusted direct premiums increasing 15.4% in 2017. As the post-IPO block of business has grown, the benefit of the IPO coinsurance continues to diminish. Given this, combined with stable exchange rates and our 2018 expectation for issued policies, we anticipate the growth rate in adjusted direct premiums to be between 14.5% and 15% in 2018 on a full year basis. In the first quarter, the DAC amortization ratio, which also includes non-deferred insurance commissions, was 16.6% versus 16.8% in the prior year period. Persistency in the quarter was generally in line with 2017 levels, and we expect persistency to remain at this level adjusted for typical seasonality throughout 2018. During the quarter, we experienced heightened lapses in certain regions affected by last year's natural disasters, although the impact was not as significant as the lapses in the prior year period associated with a specific block of Louisiana policies. The DAC amortization ratio also reflects a 20 basis point increase in insurance commissions, mainly from changes made beginning in 2018 to our sales force equity program that modestly shifted commission expense from deferred to non-deferred expense. While this shift changes the timing of expense recognition, it does not impact the overall economics of the program. We expect the quarterly DAC amortization ratios to be similar to the 2017 ratios for the remainder of the year with a full year ratio of approximately 16%. Incurred claims were consistent with the prior year experience with the benefits and claims ratio at 59.5% for the quarter. Both periods reflected seasonally higher claims, often reported by the industry in the first quarter. We consider this to be normal business volatility. On a full year basis, we expect the 2018 benefits and claims ratio to be around 58.5%, consistent with the prior year. While always seasonally high due to annual employee equity awards and merit increases in the first quarter, the net insurance expense ratio declined 50 basis points year-over-year to 8%, primarily due to about $1 million of lower premium taxes and fees from changing Primerica Life's state of domicile in December of 2017. For the full year, we expect the Term Life net insurance expense ratio to be slightly higher than 2017, reflecting the investments in digital technology and other key constituent initiatives that are expected to be incurred in 2018. The Term Life margin is expected to be around 18.5% for the full year 2018. Moving now to our Investment and Savings Products segment. On Slide 7, you'll see that our ISP revenues and income before income taxes increased 15% and 18%, respectively, compared with the first quarter a year ago. Revenues grew faster than income due to revisions made to our record-keeping platform contracts in December. While these changes are expected to benefit pretax account-based income by about $3 million on a full year basis in 2018, the additional account-based expenses fully offset the $7.4 million in additional account-based revenues in this quarter. Note that for purposes of calculating account-based net revenue per account in our financial supplement, some expenses not formally included in the calculations have been added on in a historical basis to reflect the expanded scope of our transfer agency record-keeping services. Year-over-year, sales-based revenue increased 7%, in line with growth in revenue-generating product sales. Total product sales grew 12% over the prior year period, reflecting strong growth in managed account sales from the adoption of our new Lifetime Investment Platform since its launch in the second quarter of last year. As we've mentioned in the past, although managed account sales did not generate sales-based revenue, they do provide ongoing account-based revenues -- earnings above what we receive for other U.S. products. Asset-based revenues increased 16% year-over-year, reflecting 15% higher average client asset values overall, including 40% growth in managed account assets. Canadian-segregated fund DAC amortization was $1.7 million higher versus the first quarter last year, primarily reflecting negative Canadian market performance in the current year as well as strong market performance in the prior year -- or in contrast to strong market performance in the prior year. On Slide 8, you can see the Corporate and Other Distributed Products segment adjusted operating revenues were $30.5 million, and adjusted operating losses before income taxes were $13.7 million in the first quarter of 2018. Net unrealized gains decreased to $17.9 million at quarter-end from $60.3 million at December 31, 2017, reflecting the impact of higher interest rates on prices of fixed income securities in our invested asset portfolio as well as the adoption of a new accounting standards update, which reclassified unrealized gains on equity securities into retained earnings as of the beginning of 2018. While rising interest rates will continue to pressure fixed income prices, over time, our investment income will benefit from the ability to reinvest our portfolio at higher yields, albeit at a gradual pace. Now I'll move to a discussion of the company's insurance and other operating expenses. On Slide 9, you can see our first quarter expenses of $104.3 million or $14 million higher than the first quarter of last year, about half of which was due to the investment in savings products, account-based expense changes previously discussed. The remaining variance primarily reflects $1.5 million of other growth-related expenses as well as about $5 million of annual merit -- employee merit increases, equity awards, ongoing technology spend and other expenses that support the business. The incremental spend we announced in February was nominal in the first quarter as we continue to refine the strategies and lay the groundwork for the investment. As Glenn mentioned, we still expect to incur $21 million on digital development and key constituent initiatives throughout the remainder of 2018. Looking ahead to the second quarter of 2018, we expect expenses to be about $99 million, largely reflecting the typical sequential decline in our annual employee-related expenses. Of the $21 million total initiative spend for 2018, we plan to spend about $4 million on key constituent initiatives and about $2 million on digital development in the second quarter. Moving now to income taxes. In the first quarter of 2018, the operating effective income tax rate was 22.9%. The 2018 full year operating effective income tax rate is expected to be around 23.5% with the second quarter tax rate about 100 basis points higher as historically seen. The annual rate is higher than previously estimated due to the global intangible low-taxed income component, often referred to as GILTI, of tax reform. Barring any changes, this provision is expected to add approximately $1 million of tax expense per quarter. As I wrap up, let me say that we remain committed to maintaining a strong balance sheet and capital position. Our holding company cash and invested assets were $107 million as of March 31, 2018, and Primerica Life estimated statutory risk-based capital ratio was approximately 480%, providing ample opportunity to fund capital deployment throughout the year. Now let's open the call up for questions.
Operator: [Operator Instructions]. And your first question comes from Sean Dargan with Wells Fargo Securities.
Sean Dargan: I realized that the first quarter is seasonally weak, but the production ratio is lower than it's been in recent years. Just wondering if there's anything behind that?
Glenn Williams: Yes, Sean. As we've said in the past, we've enjoyed productivity at the very upper end of our historical range for quite some time. And what we've seen is it edged back into the middle of the range very consistent with other first quarters. We see this as just normal fluctuation in productivity that happens over time as incentives come and go and we transition from one incentive program to the next. Also, as you've noticed, we had quite a gain in momentum on the ISP side of our business. And often, our 2 major products compete with each other for attention. And so you'll see as one advances, the other tends to contract just a little bit. So we believe what we're seeing is just the normal change in productivity. We have a lot of programs, a lot of efforts in place to make sure that we do everything possible to keep productivity as high as possible. But it's just normal trending as far as we see it.
Sean Dargan: Okay, great. And then if I can ask a question about where we stand with fiduciary duty. We had I believe it was the Fifth Circuit vacate the DOL rule, and then we have the SEC vote on something. I'm just wondering if you can give us an update to where you feel you stand in terms of your payout structure and your compliance and whether this is going to be a benefit relative to where you were a quarter ago.
Glenn Williams: Yes. Well, I think you got it right, Sean. The SEC has stepped in as the DOL rule was dealt with by the Fifth Circuit. The SEC has stepped up. And as we've often said, we believe they're the appropriate regulator to be dealing with fiduciary standard. So we're appreciative that they've acted under their authority and are taking a thoughtful approach to their recent rule proposal. They've requested substantial input from the industry as a normal part of this process, and that's where we are in the process right now. And so of course, we're participating in that, along with other industry participants and groups. So in a way, the process has started again, and it's not just begun, but it's in process. We're in that comment period, and so knowing exactly where it comes out is always hard to predict at the early -- at this early point. That said, we do believe this is the appropriate direction. And we are anticipating continuing to be able to do business as we've done in the past and continue to grow our business. So we don't see any new or unexpected hurdles. It's a process we deal with as we go. We'll comment on the proposal. I'm sure there'll be future versions of the rule that will be adjusted, and then we'll see where this comes out.
Operator: Your next question comes from Dan Bergman with Citi.
Daniel Bergman: First, I just wanted to see if you could provide some more color around how the Term Life claims and persistency performed in the quarter relative to your expectations. It sounded like it was roughly consistent year-over-year, but I thought that the first quarter of '17 experience might have been a little bit unfavorable for those 2 items. Just wanted to see if you could separate out the typical seasonal impact and then any variation above and beyond that, if there was one. And to the extent that there was a difference versus expected, any quantification would be helpful.
Alison Rand: Sure, sure. So first on claims, we do think this is definitely seasonal experience. We have [indiscernible] -- if you look back over the last 8 or 9 years, I'd say 6 or 7 of them, the first quarter had been elevated. So this is not atypical from what we've seen. And in fact, it was elevated in last year as well. This year, I'd say the claims were about $3 million-or-so elevated vis-à-vis whether it be a historical norm on an average-quarter basis, which was actually slightly better than it was last year, but relatively in line. We did see sort of that experience last year maybe a little closer to the $4 million range. So again, we don't look at that as having any ongoing issues and in fact, believes like I said, that it's pretty consistent with what we've seen in the first quarter in the past. With regard to persistency, there's a couple of things going on here. We generally believe that our persistency levels are pretty much stabilized as -- at where they are right now. We've been doing a lot of work on this just to make sure we're comfortable with it. And in fact, some of the things that we've seen have to do a little bit with the disasters -- natural disasters that unfortunately the country was faced with last year and quite frankly the year before. We specifically saw last year a block of policies that we had been asked to not lapse come and lapse in Louisiana in the first quarter of 2017. This year, we've been actually accruing, if you will, for that expected lapses even when states have asked us to restrict lapses. That being said, when we look at our first quarter experience, we are seeing a bit of an ongoing lag in a couple of regions that really were impacted, Puerto Rico, Louisiana being 2 of them. And so there is some of that, which we hope will taper out throughout the rest of the year. The other thing to mention, and it is -- we shortcut this and say it's the DAC ratio. But I will remind you that the DAC amortization ratio actually includes the line item of insurance commission. And because of this one program that we changed with our sales force, the compensation program, we can no longer defer the expense. So you're actually seeing it hit quickly or hit now rather than being deferred and amortized. That being said, it doesn't change the overall economics of the program. The amount of compensation total outlay is the same. But we do think that that's impacting the ratio by about 20 basis points year-over-year. And so if you ultimately look at it, I think what we've said is that on a full year basis, we expect the ratio to be around 16, which is really very consistent with what it was in 2017.
Daniel Bergman: Got it. That's very helpful. And then if I could, just moving to the tax rate guidance. I was hoping you could provide a little more color on the GILTI provision, how that impacts Primerica? And then just given that I think the revised 23.5% guidance provided was specifically for 2018, should we think about the tax rate impact from that GILTI provision as kind of steady in longer term? Or is there a chance that, that impact or pressure moderates as we go beyond 2018?
Alison Rand: Yes. And I just love the acronym in and of itself. I think it's just well said. But for those who don't know what GILTI is, it's the global intangible low-taxed income provision. And really, what it's meant to do is be a penalty for companies that have a lot of offshore earnings in low-tax jurisdictions. We, of course, have only offshore earnings in Canada, which now is actually, a higher tax jurisdiction than the U.S. So theoretically, and when we first did our analysis, we didn't feel that this would even apply to us. Given the rapid nature in which the legislation was written, and you probably heard this from other companies, there are a lot of things that need to probably have language cleanups done. This is one where the language was written where it, in our view, accidentally forced us to not be able to take full credit for a foreign tax credit. There has been some discussion by folks at the IRS and others that they will look at how this provision has been written, so we are fairly optimistic that a rewrite will occur that would allow us to actually reverse the vast majority of this tax. But at this point, given there has been no formal change, we felt it appropriate to go ahead and adjust the rate and accrue it. So before I talk about really next year, we are still hopeful that there are some modifications this year that curtail some of the impact.
Operator: [Operator Instructions]. Your next question comes from Mark Hughes with SunTrust.
Mark Hughes: The annuity sales rebounded this quarter. Was there anything in particular behind that? Why do you think they've gotten better here?
Glenn Williams: There was nothing specific I would point to, Mark. I would say that I think that this -- the clearing -- the parting of the clouds from a regulatory perspective has probably led some to be a little more confident in the future direction of the product and therefore consider recommending it again. During the period of grave uncertainty about variable annuities, I think a lot of people said we're just going to put those on the shelf and not talk about them and then we'll see what the future holds. And now I do think there's a little bit of clarity that's arrived and a little more confidence. And so that's what I would attribute it to. It's no special program or anything unusual that would create a spike in sales. It's just a little return of confidence, would be my opinion.
Mark Hughes: The outlook for 5% to 8% growth in policies, I think you expressed it in policies for the balance of the year, maybe premium. What gives you confidence that, that is going to reaccelerate?
Glenn Williams: Yes, that's policies issued, which is -- it's easier for us to transact -- for us to track transactions because sometimes size of transactions fluctuates, and so it's a good kind of fundamental stat for us to track. And as you know, our business is driven -- our insurance business production is driven by 2 major factors, the size of our sales force and productivity. We feel very good about the health and the growth and the size of the sales force, and so that's a fundamental factor that's in place growing at the 7% to 8% kind of range according to which metric you look at. And so we think that gives us an advantage if we can -- if we're successful in working on our productivity because the sales force has grown, then that's the other half of the equation. And that gives us a -- kind of leg up on the process since the sales force is larger. So if we can be effective in our incentives between now and our convention next year and through our convention next year, then we think we've got an opportunity to get that growth rate back up closer to the sales force size.
Mark Hughes: And then one more question. The sales force growth, I think you suggested you anticipate a little continued increase. I think last quarter, you had suggested it would increase at kind of high-single digit pace. Is that -- were you making a distinction with your outlook this quarter? Or is that -- you just happened to leave out that specific detail?
Glenn Williams: No, I think we're saying very much the same thing. I mean, as we all know, as you look at various quarters in the past and in the future, you got some quarters are more difficult comparables than others. And so I think you'll get some fluctuation by quarter, but there was not an intent on my part to create any difference there in the way we described it.
Mark Hughes: And if I could just sneak in one more. The asset-based revenue as a percentage of average assets, if I understand it properly, as you sell more of the managed account, that should help support that number or move it upwards? I think this year, down just a little bit year-over-year. Is there some point at which that stabilizes or the shift to managed accounts start to have a more material impact on that asset-based revenue number?
Alison Rand: Yes, I think that is exactly what we expect to happen, that it would be -- it would -- it should bolster that rate. It's certainly a -- as we -- as I mentioned in my prepared comments, it has a higher asset-based earning stream than our other U.S. products. There's a little bit of noise in that ratio right now because of the DAC amortization in Canada. Just so you know, that's a little bit of what's causing the quarterly number to be off. But we do expect that number to continue to grow. We've talked about I think 40% growth this quarter year-over-year in those assets. The real thing you got to look at to gauge when it will be truly impactful is when that block of assets itself becomes sizable enough in relation to some of the other assets like the mutual funds in the U.S. So as that continues to grow, it will become more and more impactful. And so we're growing it at a pretty rapid pace. So I do expect that to become valuable to the ratio in short order.
Mark Hughes: So short order would be a couple of years? A year?
Alison Rand: I think certainly, and I haven't done the actual math. And of course, you have to take into consideration all the other oddities that may happen from quarter-to-quarter like the Fed fund experience. But with that said, I would say you're already really seeing it, but by next year you should see it more pronounced.
Mark Hughes: Is Kathryn getting ready to cut me off here?
Kathryn Kieser: No, I'm not. You're welcome to ask some more questions, Mark.
Mark Hughes: No, I'm sorry. I couldn't resist.
Operator: And ladies and gentlemen, there are no further questions at this time. Thank you for joining. This concludes today's conference call, and you may now disconnect. Have a great day.